Operator: Welcome to the Twin Vee Powercats Company Second Quarter 2025 Investor Call. As a reminder, this call is being recorded. [Operator Instructions] Your speakers for today's program are President and CEO, Joseph Visconti and Chief Financial and Administrative Officer, Michael P. Dickerson. Before I turn the call over to Joseph, please remember that certain statements made during this investor call are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All statements on this call other than the statements of historical facts, including statements regarding the company's future operations and financial position, business strategy and plans and objectives of management for future operations are forward-looking statements. In some cases, forward-looking statements can be identified by terminologies such as believes, may, estimate, continue, anticipate, intends, should, plan, expects, predict, potential or the negative of these terms or other similar expressions. The company has based these forward-looking statements largely on its current expectations and projections about future events and financial trends that it believes may affect its financial condition, results of operations, business strategy and financial needs. These forward-looking statements are subject to a number of risks and uncertainties and assumptions described, including those set forth in its filings with the Securities and Exchange Commission, which are available on the company's Investor Relations website at ir.twinvee.com. You should not rely upon forward-looking statements as predictions of future events. We cannot assure you that the events and circumstances reflected in the forward-looking statements will be achieved or occur. Finally, this conference call is being webcast. The webcast will be available at ir.twinvee.com for at least 90 days. Audiocast quality is subject to your equipment available bandwidth and Internet traffic. If you experience unsatisfactory audio quality, please use the telephone dial-in option. [Operator Instructions] I would now like to turn the call over to Joseph Visconti.
Joseph Visconti: Thank you, Rob. Good afternoon, everyone, and thank you for joining us. I'm pleased to report that despite continued economic pressure across the recreational marine industry that Twin Vee delivered solid results this quarter. Revenues came in at $4.8 million, representing a 9.9% increase over Q2 of last year. We also posted a gross margin of up 13.8%, over 900 basis points from the same period in 2024, reflecting disciplined execution, improved operational efficiency, greater pricing consistency across our product lines. Our cash, cash equivalents and restricted cash increased to $6.2 million. These results reflect a clear priority, protect the balance sheet, maintain pricing discipline and keep product flow aligned with dealer demand. You will hear more financial specifics from our CFO, Mike Dickerson, later in the call. Operationally, this was one of our most transformative quarters in our company's recent history. We completed the acquisition of Bahama Boat Works, one of the most respected and admired names in the offshore boating world. We also launched a new 22' BayCat, a brand-new model that speaks directly to the legacy of Twin Vee's successful single-engine BayCat platform. Importantly, we also added 10 new dealers across our dealer distribution network, giving us broader geographic reach, a stronger retail coverage heading into the second half of the year. In a challenging environment, we're staying focused on what we can control, costs, margins, dealer support and innovation. Today, I'll walk you through how we're navigating the current market, strategic decisions we've made and why we remain confident in the road ahead. Let's dive in. We're actively managing and reducing field inventory while balancing supply with real-time market demand. Our field inventory has reduced from nearly 160 units a couple of years ago to approximately 50 Twin Vees spread over our entire dealer network. Our focus on floor plan exposure and field inventory metrics remains closely watched. Despite headwinds, we're not standing still. We've brought new products to market, most notably our 22' BayCat, which is already gaining traction for its efficiency, fishability and price point accessibility. We are currently building about 2 BayCats per month with the manufacturing capability to ramp up to 4 units per month. Anyone who has not seen this beautiful boat, I recommend that you go to twinvee.com, click on the BayCat, experience our recently launched configure and price 3D modeling tool. During the second quarter, Twin Vee continued efforts to make disciplined decisions that strengthen our foundation and position the company for sustainable growth. Bahama Boat Works, Building on this strong operational foundation, we also saw strategic initiatives, which led us to acquire Bahama Boat Works brand in June. Twin Vee Powercats proudly announced the acquisition of Bahama Boat Works uniting 2 renowned legacies in the marine industry. The iconic Bahama brand, long celebrated for its unmatched craftsmanship, timeless aesthetics and dedication to producing some of the finest offshore fishing vessels, the Bahama Boat molds, tooling and required equipment are now physically on site at Twin Vee Sport Pierce headquarters. Moving forward, Bahama Boat Works under Twin Vee will continue to craft bespoke, highly refined boats for discerning owners who demand the absolute best. From signature screwless hardware and flush mount finishes to integrated state- of-the-art marine electronics and optimized hull designs, these superb vessels will embody both tradition and progress. Bahama is an iconic brand, long celebrated for its craftsmanship and timeless aesthetics. We are carrying forward Bahama's core values in boat construction and uncompromising fit and finish. We recently announced the official development and expansion of a full-scale Bahama Boat Works model lineup. This new lineup will include the addition of a 22, 24, 28 and 31 center console, which will complement Bahama's existing lineup of the 35, 37, 41, 41 GT models. This strategic expansion into monohull center console market will enable us to reach a broader audience and customers. And the addition of the smaller Bahama Boats opens the doors for younger buyers, families and seasoned enthusiasts who seek the quality of a Bahama build. Speaking of tooling, that process will be more streamlined and less expensive going forward, thanks to the delivery of our new 5-axis router. We finally took delivery of this. It's been a couple of years, but the new router allows for intricate cuts and precise shaping that are critical for modern boat designs, especially for complex hull forms and integrated components. Previously, we've had to rely on external vendors, lead times, additional expensive cost. By bringing this advanced robotic technology in-house, we are streamlining our manufacturing process and significantly enhancing the quality and precision of our boat molds. And by internalizing the most expensive time-consuming aspects of boat building and boat design, we're minimizing our reliance on third parties for tooling, leading to increased operational efficiency and cost effectiveness. On the digital front, we've made significant strides this quarter. First, our brand-new interactive Twin Vee website is launched. And with it, we introduced our innovative online 3D configurator. Customers can now build and price their own Twin Vees online with real-time updates to interior upholstery, gel coats, colors, engine options and more. The platform also includes a complete 3D boat configurator, which allows you to rotate, zoom in, interact with the selected model in real time. The configurator has been expanded to include our new BayCat, the 26, our 28, our 40, and we will be rolling out our additional models over the next coming weeks. As new boat sales remain under pressure, we continue to experience a robust used boat market and boat manufacturing reached its highest peak in unit production 3 years ago. And from those post-COVID produced boats, we continue to see a healthy high-quality used boat market applied pressure on most new boat sales. And with this, Twin Vee officially launched WIZZ BANGER, our wholly owned subsidiary of Twin Vee. What is WIZZ BANGER? Think Carvana, AutoNation, CarMax for Boats. WIZZ BANGER will streamline, simplify and bring full transparency to the boat marketplace through technology, SaaS products and highly branded customer-centric physical locations. WIZZ BANGER's AI- powered valuation tool will be a resource that provides instant data-driven boat information for dealers, buyers and sellers. The WIZZ Value report, as it's called, is a value-based comprehensive condition report for boats, the same as a CARFAX report for the auto industry. The WIZZ BANGER tool is designed to help reduce disputes, expedite the sales process, allowing dealers to close deals more quickly with increased efficiency between banks, insurance companies, dealers and customers. Our primary focus is the production of sale -- of production and sale of Twin Vee and Bahama Boats. Other reference technologies and supporting services serve to support this objective with the intention of increasing sales, profitability and driving value for our shareholders. In closing, while the marine industry continues to face headwinds, Twin Vee Powercats remains focused and disciplined. We are optimizing operations, investing in innovation, expanding our portfolio with strategic acquisitions like Bahama Boats, all while staying true to our core value of quality, performance and integrity. We believe the steps we're taking today will position us for sustainable growth and long-term shareholder value. We thank you, of course, for your continued support and confidence in Twin Vee as we navigate these challenges and build tomorrow's opportunities. Now I'd like to turn this over to our CFO, Mike Dickerson.
Michael P. Dickerson: Thank you, Joseph. Good afternoon, everyone. Thank you for joining us today. It's a pleasure to talk to you today about our financial results for the second quarter ended June 30, 2025. We're pleased again to report continued progress in our financial and operational performance this quarter. Revenues grew to $4.8 million, a 32% increase over the first quarter of 2025 and a 10% year-over-year increase over the second quarter of 2024. This represents the first year-over-year positive growth rate since the first quarter of 2023 and stems primarily from our new dealer expansion initiatives and the introduction of our new 22' BayCat. We shipped a total of 31 units in the second quarter, a sequential increase of 29% compared to the first quarter of 2025 at an average sales price of $153,000, up slightly from last quarter. Gross margin expanded by 910 basis points to 13.8% in the second quarter from just 4.7% in the prior year period. This improvement was primarily driven by production efficiencies, better alignment between supply and demand and our ongoing efforts to streamline costs. For the first 6 months of the year, gross margin was also up more than 900 basis points to 14.2%, further supporting our path forward towards profitability. Operating expenses in the quarter were $2.3 million, down 52% from $4.9 million a year ago. We remain focused on disciplined expense control and resource allocation, especially as we begin integrating the Bahama Boat line and investing in our WIZZ BANGER boats for Sale AI platform. Included in the 3- and 6-month period ended June 30, 2024, was $1.674 million impairment charge related to our building in North Carolina that is now held for sale. Even before this charge last year, operating expenses for the 3- and 6-month periods ended June 30, 2025, were down 27% and 24%, respectively, demonstrating our ongoing commitment to cost control. On a GAAP basis, net loss for the quarter was $1.7 million, a 63% improvement compared to the second quarter of 2024. Our adjusted net loss, which excludes noncash charges such as depreciation, stock-based compensation as well as development costs for WIZZ BANGER totaled $941,000 for the quarter, reflecting an average adjusted net loss of approximately $314,000 per month. This represents another sequential improvement and compares favorably from our previous expectations. Turning briefly to the balance sheet. We ended the quarter with $6.2 million in cash, cash equivalents and restricted cash. This was up over $1 million from the end of the second quarter -- end of the first quarter, reflecting the impact of our secondary offering in May and disciplined cash management, partially offset by investments in capital and our WIZZ BANGER Boats for Sale AI platform. Working capital grew to $10.2 million, up over 50% from the year-end 2024, primarily due to the reclassification of $4.3 million in assets held for sale that are expected to be sold within the next 12 months. During the quarter, we closed on the acquisition of the Bahama Boat brand. This transaction significantly enhances our product portfolio and market presence. The Bahama lineup is widely respected among the offshore fishing community and complements our offering by adding premium vessels ranging from 35 to 41 feet. Looking ahead, we are actively developing 22-, 24-, 28- and 31-foot Bahama models to bring that same quality to the broader market segment, which we expect to become available over the next several months. During the quarter, we also introduced our newly redesigned 22' BayCat, one of the most popular boats in Twin Vee history. Early dealer feedback has been strong, and we expect this model to play an important role in our future. Our priorities remain clear: deliver high-quality boats, optimize our dealer network, reignite the premium Bahama brand, control costs and build long-term shareholder value through disciplined execution. With that, I'll turn the call over to the operator to handle your questions.
Operator: [Operator Instructions] There are no questions at this time. I'd like to turn the call back over to your host, Joseph Visconti.
Joseph Visconti: Thank you, Rob. I want to thank everyone for participating in the call today. We will continue to work hard for our shareholders and appreciate your time. Have a wonderful day. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.